Operator: Ladies and gentlemen, please stand by, we're about to begin. Welcome to MasTec's Fourth Quarter 2017 Earnings Conference Call initially broadcasted on February 28, 2018. Let me remind participants that today's call is being recorded. At this time, I'd like to turn the call over to Marc Lewis, MasTec's Vice President of Investor Relations. Marc?
J. Marc Lewis - MasTec, Inc.: Thanks, Aaron, and good morning, everyone. Welcome to MasTec's fourth quarter 2017 earnings conference call. The following statement is made pursuant to the Safe Harbor for forward-looking statements described in the Private Securities Litigation Reform Act of 1995. In these communications, we may make certain statements that are forward-looking, such as statements regarding MasTec's future results, plans, and anticipated trends in the industries where we operate. These forward-looking statements are the company's expectations on the day of the initial broadcast of this conference call and the company does not undertake to update these expectations based on subsequent events or knowledge. Various risks, uncertainties and assumptions are detailed in our press releases and filings with the SEC. Should one or more of these risks or uncertainties materialize or should any of our underlying assumptions prove incorrect, actual results may differ significantly from results expressed or implied in these communications. In today's remarks by management, we will be discussing adjusted financial metrics, as discussed and reconciled in yesterday's press release and supporting schedules. In addition, we may use certain non-GAAP financial measures in this conference call. A reconciliation of any non-GAAP financial measures not reconciled in these comments to the most comparable GAAP financial measure can be found in our earnings press release, our 10-K or in the posted PowerPoint presentations located in Investors and News section of our website located at MasTec.com. With us today, we have José Mas, our CEO; and George Pita, our Executive Vice President and CFO. The format of the call will be opening remarks and analysis by José and followed by a financial review from George. These discussions will be followed by a Q&A session, and we expect the call to last about 60 minutes. We had another great quarter capping off a great year and we have a lot to talk about today. So I'd like to turn it over to José. José?
José Ramón Mas - MasTec, Inc.: Thanks, Marc. Good morning and welcome to MasTec's 2017 fourth quarter and year-end call. Today, I will be reviewing our fourth quarter and full year results as well as providing my outlook for 2018 and the markets that we serve. I am happy to report that our financial results for 2017 were again at record levels. 2017 marks the second consecutive year of record financial performance. More importantly, we are again providing record levels of revenue, adjusted EBITDA, and adjusted EPS guidance for 2018. I must say I am truly humbled and privileged to lead such a great group of men and women who are so committed at excelling in their jobs. Since 2007, in just over 10 years, we've taken revenues from $932 million to over $6.6 billion, and adjusted EBITDA from $58.6 million to $646 million. While these are impressive financial results and we're very proud of them, I'm even more excited about our future and all of the potential opportunities we have to grow our business and improve margins. I know I've said it before, but we have never been in a better position to take advantage of the opportunities our different markets are affording us as is evidenced by our record backlog which is up 31% year-over-year and up 41% sequentially from the third quarter. We are blessed to be in incredibly healthy markets and our prospects for long-term growth have never been better. Now, some fourth quarter highlights. Revenue was up 19% to $1.6 billion. Fourth quarter adjusted EBITDA was $129 million. And fourth quarter adjusted EPS was $0.47. For the full year 2017 revenue was up 29% to over $6.6 billion. 2017 adjusted EBITDA was up 35% to $646 million from $477 million in 2016, and 2017 full year adjusted EPS was up 54% to $2.92 from $1.90 in 2016. In summary, we had an excellent quarter and a great year. In fact, at this time last year, our guidance for 2017 was $5.5 billion in revenues, $550 million of adjusted EBITDA and adjusted EPS of $2.35. We were able to exceed projected revenues by over $1 billion, adjusted EBITDA by almost $100 million, and adjusted EPS by $0.57. This outperformance was driven by better-than-expected results across all of our segments. For 2018, we are guiding revenues at $6.750 billion, adjusted EBITDA at $685 million, and adjusted EPS of $3.45, again all record levels. Our revenue growth for 2018 is expected to come from our Communications, Transmission and Power Generation segments. We expect a significant uptick in our Communications segment related to fiber deployments, FirstNet and the beginning of 5G rollouts. We expect Transmission revenues to be up with continued backlog growth heading into 2019 and our Power Generation business should enjoy significant revenue growth based on strong current backlog and more importantly, the subset of future opportunities is very strong. Finally, our pipeline business is enjoying what we believe will be a large multi-year cycle of large project buildouts, and we expect that to be augmented in the coming years with improving economic conditions in Canada, Mexico, and in the U.S. shale plays. I would now like to cover some industry specifics. Our Communications revenue for the quarter was $662 million versus $596 million in last year's fourth quarter, up 11%. And for the year, revenues were $2.4 billion versus $2.3 billion last year. Margins in the fourth quarter were strong at 11.2% versus 9% in last year's fourth quarter. Margins were better than expected based on increased level of activities across all of our Communications customer as well as some impact from storm-associated revenues. As we enter 2018, our Communications business outlook is significantly better than at this point last year. Throughout 2017, we saw significant demand from a number of customers related to wireline fiber builds and expansion. We are at the beginning of what we believe is one of the most aggressive fiber build cycles in our history. A number of customers are aggressively deploying fiber assets, and we expect levels to significantly increase as 2018 progresses, with a considerable ramp in 2019. On the wireless side, we are being positively impacted by both the start of FirstNet deployment and the beginning of 5G expansion. We expect both of these initiatives to also increase in size and scope as 2018 develops and expect 2019 to be considerably larger. As an example, over the course of the last few weeks, we have seen a noticeable increase to wireless backlog. While we're still working to fully understand the impact on 2018 projections, this is a great indicator and sign. Moving to our Power Generation & Industrial segment, revenue was $96 million for the fourth quarter versus $81 million in last year's fourth quarter. Full year revenues were $300 million and down versus 2016, but EBITDA margins were up nearly 300 basis points for the year. Backlog at year-end finished at $577 million, up $246 million sequentially. This level of current backlog will support a strong growth year for this segment, and with our improved financial performance over the last year, we expect 2018 to be an excellent year. There continues to be a significant number of opportunities for us to continue to grow this segment, and we truly feel we've turned the corner and that our Power Gen & Industrial business will be a significant driver of growth and performance for the coming years. Revenue in our Electrical Transmission business was $101 million in the fourth quarter and $378 million for the year, both relatively flat with last year. EBITDA margin significantly improved in 2017 to 4.8% versus a 9% loss in 2016. We had previously talked about 2017 being a transition year where we plan to get this segment back to profitability. We have accomplished that and expect revenues and margins to both grow in 2018. Backlog levels were up 32% sequentially, and we expect to continue to build backlog throughout 2018. Our Oil & Gas pipeline segment had revenues of $740 million for the fourth quarter compared to revenues of $570 million in last year's fourth quarter. For the full year, Oil & Gas segment revenues were $3.5 billion compared to $2 billion in 2016, a 73% increase. EBITDA margins in our Oil & Gas segment were 11.5% for the year compared to 15% in 2016. The decline in margins was primarily associated with an increase in revenue on one particular project that was cost reimbursable in nature. Thus, as the contract value increases, margin dollars stay relatively equal, creating margin pressure on both the job and the segment. This contract structure is somewhat unique, and we don't anticipate a similar structure in 2018 and expect EBITDA margins to improve in 2018 to approximately 13%. Backlog in our Oil & Gas segment was just over $2.5 billion at year-end, a record level. While we're expecting to have a great 2018, we have excellent multi-year visibility into future projects and fully expect to replenish backlog going into 2019. We are bullish about the improving commodity price environment. We are experiencing increased levels of activity in the U.S. shales, Canada and Mexico, which had been negatively impacted by the variability and decline of oil prices in 2017. With a strong U.S. market including the shales and an improving environment in the rest of North America, we are confident we will have continued opportunities to grow our Oil & Gas business in the coming years. To recap, we had another record year in 2017, and we expect 2018 to be even better. While the last few years have been excellent, for the first time in recent memory, we have every single segment in our business enjoying multiple opportunities for long-term growth. It's definitely an exciting time to be part of MasTec. I'd like to take this opportunity to thank the men and women of MasTec for their commitment to safety, their hard work, and their sacrifices. Our people are our most important asset, and it's because of them and the opportunities that they've created that I'm so bullish about our future. I'll now turn the call over to George for our financial review. George?
George L. Pita - MasTec, Inc.: Thanks, José, and good morning, everyone. Today, I'll cover fourth quarter and full year 2017 financial results, including cash flow, liquidity and capital structure, as well as our initial guidance expectation for 2018. In summary, we are very proud to report yet another year of record financial performance, including record annual 2017 revenue levels, record year-end 2017 backlog, as well as record annual 2017 operating results. We are also proud that our 2018 guidance expectation for revenue, adjusted EBITDA, and adjusted diluted earnings per share is at yet another new record level, and we enter 2018 with our capital structure and liquidity in excellent shape. Looking past 2018, as José just mentioned, numerous market initiatives are expected to ramp up during 2018 and should continue to expand into 2019 and beyond, leaving us very excited about our future growth prospects for several years. As Marc indicated at the beginning of the call, our discussion of financial results and guidance will include non-GAAP adjusted earnings and adjusted EBITDA. Reconciliation and details of non-GAAP measures can be found in our press release on our website or in our SEC filings. It is probably worth noting that we had some unusual items that benefited our fourth quarter GAAP results that were properly excluded from our adjusted results. First, as a result of the Tax Cuts and Jobs Act enacted just before year-end 2017, we recorded a one-time GAAP benefit in the form of reduced income tax expense of approximately $120 million or $1.46 per diluted share as a result of our initial re-measurement of our U.S. deferred income tax balances. And this benefit was not included in our adjusted results. Secondly, due to revised GAAP accounting rules related to the income tax effects of stock-related compensation, we recorded a GAAP benefit again in the form of reduced income tax expense of approximately $6 million or $0.07 per diluted share. And this benefit was also not included in our adjusted results. In summary, because of these items, our 2017 GAAP income tax rate is approximately 6% of pre-tax earnings, but we continue to utilize a 39% adjusted tax rate for both the fourth quarter and annual 2017 period in order to appropriately present comparable results. While we are on the subject of tax, I would like to reiterate that MasTec is a big beneficiary of the Tax Cuts and Jobs Act, both directly and indirectly. Directly, we expect that both our 2018 GAAP and adjusted tax rate will approximate 29.5% of pre-tax earnings compared to the 39% adjusted rate in effect for 2017. And we should experience an even greater cash tax benefit going forward due to the acceleration of tax deductions on capital expenditures. In addition to this direct benefit, several of our large customers have made public statements regarding incremental capital expenditures in 2018 and beyond because of tax reform, providing even more support for our expectations of favorable end market trends in the markets we serve. Here are some summary comments regarding our fourth quarter 2017 performance. Fourth quarter 2017 revenue of $1.6 billion grew 19% and represented the largest fourth quarter in MasTec history, with strong double-digit increases across Communications, Oil & Gas, and Power Generation & Industrial segments. Revenue grew approximately $300 million over our quarterly guidance expectation, and this was primarily driven by increased Oil & Gas segment activity as well as some increased Communication and Electrical Transmission segment activity. Fourth quarter booking activity significantly exceeded our expectations and we sequentially grew our backlog 41% or $2.1 billion to a new record level of $7.1 billion. Year-end 2017 backlog includes record segment backlog across the Communications, Oil & Gas, and Power Generation & Industrial segments. Fourth quarter 2017 adjusted EBITDA was approximately $129 million or 8% of revenue, approximately $16 million above our guidance expectation. Fourth quarter 2017 adjusted diluted earnings were $0.47 per share, approximately $0.11 per share above our guidance expectation. We ended 2017 at a comfortable 2.06 times book leverage ratio and ample liquidity despite funding working capital and increased capital expenditure levels required to support over $1.5 billion in annual revenue growth, as well as over $200 million invested in acquisitions and strategic investments. As indicated in yesterday's release, our fourth quarter working capital was higher than anticipated, primarily due to the timing of Oil & Gas large project billing activity, which should normalize as projects are completed during the first half of 2018. Our expectation is that 2018 will be a record year for MasTec from a cash flow from operations perspective. Now, let me get into some detail regarding fourth quarter segment results. Fourth quarter 2017 Oil & Gas segment revenue increased approximately $177 million or 30% compared to the same period of the prior year to approximately $740 million, and adjusted EBITDA margin rate was 6.2% of revenue. While fourth quarter revenue levels for this segment exceeded our quarterly guidance expectation by approximately $200 million, this was largely a result of increased revenue on a large project primarily on a cost reimbursable basis, and this reduced our adjusted EBITDA margin rate performance. This project was largely complete as of year-end, although some 2018 work remains and substantial completion is currently anticipated towards the end of the first quarter of 2018. Fourth quarter 2017 Communications segment revenue increased approximately $67 million or 11% compared to the same period of the prior year to approximately $662 million, and adjusted EBITDA margin rate was strong at 11.2% of revenue. Revenue levels and segment EBITDA margin rate slightly exceeded our expectation, primarily as a result of higher than anticipated activity across install-to-home, wireless, and wireline operations. We had strong fourth quarter 2017 performance across the Electrical Transmission, Power Generation & Industrial, and Other segments, characterized by solid project performance and execution in both the Electrical Transmission and Power Generation & Industrial segments, as well as continued profit generation in our Other segment from our equity interest in the Waha pipeline operations. We now estimate that our Waha equity investment will generate somewhere between $25 million to $28 million in earnings in 2018 as we benefit from commercial pipeline operations optimization. Turning to a quick recap of full year results, full year 2017 record revenue of $6.6 billion increased $1.5 billion or 29% when compared to the prior year. This level also significantly exceeded our revenue expectation of $5.5 million when we entered 2017. Full year 2017 adjusted EBITDA was a record $646 million, increasing $169 million or 35% compared to the prior year. This level also significantly exceeded our expectation of $550 million when we entered the 2017 year. Full year 2017 adjusted EBITDA margin rate of 9.8% of revenue improved 50 basis points when compared to the prior year. Full year 2017 adjusted diluted earnings per share were a record level of $2.92, increasing $1.2 per share or 54% compared to the prior year. This level also significantly exceeded our expectation of $2.35 per adjusted share when we entered 2017. In summary, 2017 was another record year for MasTec, significantly exceeding our initial expectations at the beginning of the year and our record 2017 year-end backlog gives us confidence towards an exciting future. Now, I'll cover some noteworthy items related to our full year 2017 segment performance. Full year 2017 Oil & Gas segment revenue was a record level $3.5 billion, a 73% increase over the prior year. This revenue level also exceeded our initial 2017 revenue expectation by approximately $1 billion. Approximately $500 million of the Oil & Gas revenue earned in the third and fourth quarters of 2017 is characterized as increased revenue on a large project primarily on a cost reimbursable basis, which obviously increases the revenue line, but since it generates no margin, reduces the segment adjusted EBITDA margin rate. If this cost reimbursable revenue is excluded from our results for purposes of go-forward modeling, 2017 revenue levels approximate $3 billion, and our 2017 adjusted EBITDA margin rate was in the mid-13% range, which is generally in line with the low end of our previously communicated adjusted EBITDA margin rate expectation for the Oil & Gas segment. As we've stated in the past and our record level of year-end 2017 backlog supports, we believe we are in the midst of a multi-year cycle of long haul project activity that will drive significant demand for our future Oil & Gas segment services. Our 2018 guidance expectation for this segment would be that 2018 Oil & Gas segment revenue will grow in the mid-single digit range compared to the normalized 2017 Oil & Gas segment revenue level of approximately $3 billion and assumes that 2018 segment adjusted EBITDA margin rate will approach 2017 normalized margin rate levels somewhere in the low-13% range. We believe this guidance prudently incorporates potential project inefficiencies, thus, allowing for potential rate improvement should 2018 project conditions prove more favorable than initially assumed. Lastly, based on expected changes in year-over-year timing of project starts, as well as project completions from 2017, and the timing of potential closeouts, we anticipate year-over-year Oil & Gas adjusted EBITDA margin rate variances when quarterly 2018 periods are compared to 2017. In summary, first half 2018 Oil & Gas segment adjusted EBITDA margin rate performance is expected to fall below first half 2017 rate levels primarily in the first quarter of 2018 as we complete a large 2017 project that has pressured margins and face a difficult comparison against the first quarter of 2017 which benefited from some large project close out efficiencies. Consequently, we expect second half 2018 Oil & Gas segment adjusted EBITDA margin rate performance will exceed second half 2017 adjusted EBITDA margin rate levels. Full year 2017 Communications segment revenue was $2.4 billion, an increase of approximately $100 million or 4.3% when compared to the prior year. Revenue growth in 2017 was achieved despite lower levels of install-to-home security and satellite services and the effect of an unnamed wireline customer ceasing construction activities in early 2017. As supported by our record Communications segment backlog as of year-end 2017 and as José mentioned in his remarks, the continued trend towards 1 Gigabit fiber-to-the-home deployment by multiple carriers coupled with various multi-year infrastructure initiatives launching during 2018 should drive significant demand for our wireless and wireline construction services for years to come. That said, many of these new initiatives, such as 5G, FirstNet, and Verizon One Fiber will be in various stages of ramping during 2018. And accordingly, the true full impact of these market infrastructure initiatives won't be fully reflected in our 2018 revenue level, with our expectation that we realize continued revenue growth on these initiatives in 2019 and beyond. Our 2018 guidance expectation for the Communications segment reflects that various multi-year initiatives will accelerate in size and scope over the year, with start-up cost in the first half of the year, followed by increases in revenue and production during the second half of 2018. Our 2018 annual revenue growth expectation for this segment is in the high-single digit, low-double digit range with annual 2018 adjusted EBITDA margin approximating 2017 levels, with some pressure in the first half of 2018 on an adjusted EBITDA margin rate basis as we ramp up on several initiatives. Turning to Power Generation & Industrial segment, 2017 revenue was $300 million, a decrease of $106 million or 26% when compared to the prior year. While our 2017 top line was challenged, the group had strong project execution and EBITDA margin rate was much improved. We reported year-end 2017 backlog in this segment of $577 million, an increase of over $460 million compared to the prior year-end. Based on this backlog generated from the combination of increased renewable project activity and the expansion of our services into biomass and other smaller production facilities, we anticipate that the Power Generation & Industrial segment will show sizable growth in 2018 and could exceed $500 million in 2018 annual revenue as it begins project execution on multiple project awards. Full year 2017 Electrical Transmission segment revenue was $378 million, essentially flat to the prior year, while EBITDA margin rate was improved substantially to 4.8% of revenue. We anticipate that this segment will show slight improvement in 2018 and that it will continue to build backlog in 2018, setting this segment up for sizable growth in 2019. Now, I'll discuss our top 10 largest customers for the annual 2017 period as a percentage of revenue. Energy Transfer affiliates was 40%, consisting of multiple projects; AT&T revenues, derived from wireless and wireline fiber services, were approximately 15%; and install-to-home services were approximately 10%. On a combined basis, these three separate service offerings totaled approximately 25% of our total revenue. It is important to note that all of our offerings, while falling under one AT&T corporate umbrella, are managed and budgeted independently within their organization, giving us diversification within that corporate universe. Trans-Pecos Pipeline, Enterprise Products Partners, Duke Energy, NextEra, Comcast and Comanche Trail Pipeline were each at 2% of revenue. Diamond Pipeline and American Electric Power were both approximately at 1% of revenue. Individual construction projects comprised 64% of our 2017 annual revenue, with Master Service Agreements comprising 36%, and this mix reflects the higher level of 2017 large project activity. At year-end 2017, our 18-month backlog was at a record level of approximately $7.1 billion, a 31% increase compared to the same period last year and a 41% sequential increase over the third quarter of 2017. During our last call, we indicated that year-end 2017 backlog would exceed $6 billion, and we significantly exceeded this expectation. Also, as we've indicated for years, quarterly backlog amounts tend to be lumpy as large contracts burn off each quarter and new large contract awards only come into backlog at a single point in time. That said, there are certain items of particular note in our year-end 2017 backlog. We reported record levels of backlog across three separate segments – Communications, Oil & Gas, and Power Generation & Industrial – serving as a testament to the breadth and scope of our end-market opportunities. Oil & Gas segment backlog at $2.5 billion marks the third consecutive year-end period of record backlog and the third consecutive year-end of segment backlog over $2 billion. This trend supports the belief of the multi-year nature of the current cycle of U.S. long haul project activity. Communications backlog, at a record level of $3.6 billion, grew over $800 million from year-end 2016 levels. It is important to note that we have secured over $1 billion in awards in the fiber deployment area, with less than half of these total awards reflected in our 2017 year-end 18-month backlog, as awarded projects are expected to commence full construction over the course of 2018 and, thus, the full value of our awards will be realized beyond the reported 18-month backlog period. In addition, many other significant telecommunications infrastructure initiatives, such as FirstNet and 5G, are only minimally reflected in our 18-month 2017 year-end backlog. As these initiatives continue to develop in size and scale in 2018, we anticipate an increased demand for our services and this should manifest itself with further increased levels of backlog. Power Generation & Industrial segment backlog was at a record level of $577 million, reflecting both increased renewable power, facility demand, as well as extension into biomass facility construction. As I indicated earlier, we are expecting sizable growth in this segment in 2018. Electrical Transmission segment backlog was up 38% to $354 million, and we look for continued backlog growth in this segment during 2018. In summary, our record level of backlog at 2017 year-end highlights the strength of our end markets which will begin impacting our 2018 revenue and is expected to support additional revenue growth in 2019 and beyond. Now, I will cover cash flow, liquidity, and capital structure. As we have previously noted, our long-term capital structure is solid with low rates and no significant near-term maturities. We ended 2017 with net debt, defined as total debt less cash, of $1.3 billion and our year-end book leverage ratio, defined as net debt levels divided by trailing 12-month adjusted EBITDA, was 2.06 times. As of year-end 2017, we had liquidity of approximately $600 million, clearly allowing us full financial flexibility to take advantage of the various growth opportunities our markets afford us. That said, as indicated in yesterday's release, we ended 2017 with higher than normal levels of working capital invested in several large Oil & Gas projects as we work towards project completion during the first half of 2018. As these projects have expanded in scope due to delays, construction activity stretched further into the fourth quarter, creating increasing levels of year-end costs in excess of billings and retainage amounts. This has caused an increase in our fourth quarter DSOs or our accounts receivable days outstanding to 81 days, which is slightly above our stated DSO target range of mid to high 70s. As we complete these projects during 2018 and complete the process of ordinary course change order approval, working capital uses on these projects is expected to moderate during the first half of 2018. We anticipate that given our current estimated 2018 revenue levels coupled with the normalization of year-end 2017 working capital levels, we should be in position to generate a record level of cash flow from operations in 2018. Our previous record level of cash flow from operations was $367 million in 2015, and we estimate we could far exceed that amount in 2018 and approach over $500 million in cash flow from operations. Given that view, in terms of capital usage priorities, as we've indicated in the past, we continually evaluate the expected investment return associated with acquisitions and other strategic initiatives to grow our operations, as well as share repurchase opportunities and the use of funds for debt reduction. As a reminder, we have a remaining open share repurchase authorization of approximately $98 million after accounting for approximately $2 million of share repurchases completed during the fourth quarter of 2017 at an average price of just under $40. Given our current leverage profile, we are less likely today to focus on debt reduction as a priority and more inclined to focus on opportunities to grow our operations and improve shareholder value, although we will continue to evaluate our capital structure in light of the increasing interest rate environment. Regarding our spending on equipment, full year 2017 net cash CapEx, defined as cash CapEx net of equipment disposals, was $103 million, with an additional $150 million of equipment procured under capital leases. As we have previously indicated, 2017 CapEx levels were increased and reflect our confidence based on our visibility of a continued multi-year cycle of large Oil & Gas project activity. Given the level of 2017 investment, we would expect 2018 capital expenditures to moderate with approximately $90 million in net cash CapEx and an additional $110 million to $130 million in equipment procured under capital leases. Moving to our 2018 initial guidance, we are currently projecting 2018 annual revenue of approximately $6.75 billion, with an adjusted EBITDA margins approaching 10.2% of revenues or $685 million and adjusted diluted earnings per share approximating $3.45, with all these projected metrics representing record levels for MasTec. As I have previously given some color as to our annual expectations at a segment level, I will now cover some other guidance expectations. We expect 2018 interest expense levels will approximate 1% of annual revenue with the dollar increase over 2017 levels primarily due to the increased short-term floating borrowing rates reflecting both the annualization of 2017 rate increases as well as further projected 2018 rate increases. We currently anticipate 2018 depreciation and amortization expense will approximate 3.1% of annual revenue with the dollar increase over 2017 primarily due to the annualization of expanded 2017 levels of capital expenditures and acquisition activity. As I indicated earlier, our 33% equity interest in the Waha JVs is expected to generate approximately $25 million to $28 million in 2018 income. These earnings will be reflected in the equity in earnings or losses of unconsolidated affiliates line item in our income statement and will be included in the Other segment results. For 2018, net income attributable to non-controlling interest should approximate $1 million, and for modeling purposes, simply break this down equally by quarter. Also, as I touched upon earlier, regarding newly enacted tax reform, we anticipate that our 2018 GAAP and adjusted income tax rate will approximate 29.5%, down from an adjusted tax rate of 39% in 2017. Our estimate for full year 2018 share count for diluted EPS is about 82.9 million shares and 82.5 million shares for the first quarter of 2018. These share count estimates do not include the impact of any potential 2018 share repurchase activity. Lastly, our 2018 guidance expectation assumes minimal impact from the 2018 adoption of new GAAP revenue recognition rules. We currently estimate first quarter 2018 revenue of approximately $1.23 billion, with adjusted EBITDA of approximately $90 million and adjusted diluted earnings at approximately $0.20 per share. This expectation includes a more typical first quarter Oil & Gas revenue pattern and adjusted EBITDA performance in what is usually a seasonally slow quarter. As a reminder, last year first quarter 2017 Oil & Gas segment results include the benefit of some large project efficiencies and closeouts which resulted in higher first quarter 2017 revenue and a segment adjusted EBITDA margin of over 20%, which is higher than our typical historical performance. In terms of some additional color on the expected timing of 2018 performance, due to Oil & Gas project timing differences, coupled with a slower start and expected ramp within the Communications segment as various initiatives begin during 2018, we expect first half 2018 overall revenue levels will grow slightly over first half 2017 period, but will fall below our overall 2018 annual revenue growth rate of 2.2%. And second half 2018 growth rates will accelerate above the overall 2018 annual growth rate. Regarding overall adjusted EBITDA margin rate, based on the lower projected first half 2018 revenue, we would also anticipate that first half 2018 adjusted EBITDA margin rate will fall slightly below our overall annual expectation of 10.2% of revenue, and that second half 2018 overall adjusted EBITDA margin rate will be slightly above our overall annual expectation. In summary, 2017 represented MasTec's second consecutive year of record performance and 2018 is lined up to be another record year. While we are excited about our 2018 expectation, we also look forward to 2019 and beyond as we anticipate that we will benefit from the ramp up of several multi-year infrastructure initiatives by our clients. And that concludes our prepared remarks. And now, we'll turn it over to the operator for questions. Operator?
Operator: Thank you, sir. And we'll go first to Alan Fleming with Citi.
Alan Fleming - Citigroup Global Markets, Inc.: Hi. Good morning, guys.
José Ramón Mas - MasTec, Inc.: Good morning, Alan.
Alan Fleming - Citigroup Global Markets, Inc.: José, MasTec seems in a position to be a big beneficiary from tax reform. So maybe you can start off by talking about any change in behavior that you're seeing from customers today and how much they're wanting to spend coming out of tax reform and any impact that's having on either your visibility or your confidence in your outlook for 2018?
José Ramón Mas - MasTec, Inc.: Sure. Two things. One, obviously, we had a sizable direct benefit from the tax legislation that I think we've included in our numbers today. But you're right, more importantly, our customers are all talking about spending more money and more capital. A very recent example, we're seeing a sizable increase right now in wireless backlog, and that's happened very recent here in the last few days and weeks, which we're still trying to kind of understand what it means for 2018. But we feel great about what our customers are saying both for this year and more importantly going into the future. And I think everybody's really excited about their own businesses. Everybody's excited about where they are from a cash position and a debt position, and I expect our customers to spend more money. And part of that is driven by the overall economy and the improvement there and the needs for them to stay competitive and, obviously, part of it is driven by their cash expectations and some of the benefit that they're seeing from a tax perspective.
Alan Fleming - Citigroup Global Markets, Inc.: Okay. And maybe switching gears onto Oil & Gas. Can you talk about the cadence of Oil & Gas work in backlog for 2018, Rover is close to winding down here? As you transition to your next big project in backlog, how much control do you have on the timing of ramp-up there and do you feel good about being able to manage a relatively seamless transition to where you don't see any big loss in utilization kind of in the first half of 2018 and how much contingency have you built in there?
José Ramón Mas - MasTec, Inc.: Sure. It's an important part of our business. I think one of the things that we have done really well over the last couple of years is pick projects that kind of fit with each other. So, it's a lot of what goes into our planning and our thinking about what we're going to do in the future. I feel really good about our performance for 2018 and where we are relative to the projects that we expect to start, where we are in those cycles, and what's left to accomplish. We're on schedule. We feel great about it. Quite frankly, just from an overall pipeline perspective, we're – we continue to be amazed by the level of activities, not just for 2018, but what we're seeing for years on out. It's very exciting. We're in dialogue with a number of different customers on multiple projects. We're not going to do them all, but it gives us a chance to really kind of fit where and schedule – where within our schedule projects fit and work with customers to hopefully have the most seamless timing between projects we can possibly do. So, it's a lot of what we're doing, a lot of what we spend our time on and planning in that business and quite frankly we're blessed because there's so many out there that we kind of get to pick and choose.
Alan Fleming - Citigroup Global Markets, Inc.: Perfect. Thank you, guys. I'll hand it over. Good luck.
Operator: We go next to Jamie Cook with Credit Suisse.
Jamie L. Cook - Credit Suisse Securities (USA) LLC: Hi. Good morning. I guess two questions. One, José, can you just talk about potential for capacity constraints in the market and how you're managing that and whether your revenue forecast for 2018 or as you look to 2019 are constrained by any – by capacity constraints or lack of labor availability? And then my second question was I think on the Communications side, you talked about a level of investment that's required in the first half of the year relative to the back half of the year. So, if you could just sort of speak to that as well, provide a little more color. Thank you.
José Ramón Mas - MasTec, Inc.: Sure. So, on the question of personnel, I think we've done an awesome job and we don't talk a lot about it of hiring really good people from within the industry, from outside the industry and brought them into the fold at MasTec which has allowed us to continue to grow our base to bring on really, really strong people all the way at the operator level. We're in a business much like yours where there's a following of people and if you get the right people, you get great following. And we've been very successful in being able to add on to our team and think we've been an employer of choice for some time now. So, we've worked hard on that. We feel good about where we stand especially for 2018 around where we stand with people. For 2019, we're already working on plans to try to mitigate what we think will be a tightening labor environment. And our customers know it and I think it's being built into just about everything we talk about with customers and contracts we're talking about today to protect ourselves. So, it's a great problem to have in the industry. I think those that manage well through it will succeed more and we've been working really hard at it. So, quite frankly, it's something that we view as kind of exciting. As it relates to first half, second half for this year, there's no question that we're in a ramp-up mode in a number of businesses today because we expect significant increases in activities in the second half and going into 2019. All of that is embedded in the numbers that we're providing today. As we think about – even as we think about the first quarter, every single business that we're in, all of our segments will be up from a margin perspective in Q1, with the exception of our pipeline business which enjoyed really strong margins in Q1. We think that's a great sign that really helps mitigate what we have to perform for the balance of the year. But there's no question that we're investing a little bit today in what's going to be better businesses in the future and we're happy to do that.
Jamie L. Cook - Credit Suisse Securities (USA) LLC: And sorry, José, just a follow-up. On the capacity constraints, are you more concerned on the Oil & Gas side versus the Communications side? And then within the Oil & Gas side, are you seeing any changes in terms of terms and conditions that allows you for more profit upside within the Oil & Gas business, in particular?
José Ramón Mas - MasTec, Inc.: Sure. So, to be clear, on capacity, I'm not really overly concerned about any of them, but I think you have to manage through them. I think that's part of risk assessment and what we're going to have to do to be successful in the future. So, we're cognizant of it. I believe there's going to be more constraints in the Communications market just because of the sheer growth of what we're going to see there over the next 18 months. So I think those that manage best through it will be more successful. The second part of your question, Jamie?
Jamie L. Cook - Credit Suisse Securities (USA) LLC: Just in terms of terms and conditions on contracts...
José Ramón Mas - MasTec, Inc.: Yeah. Look, I think – and I think you referred to the Oil & Gas business. The best part about it is that every part of that market today is getting hotter. So, as the shales come back in a big way and as we're seeing more activity, you're seeing – we're going to see better pricing. I think on the long haul market, pricing's been excellent, and the ability to generate strong margins has a lot to do with utilization. Obviously, as the shales come back, it allows you to dramatically increase your utilization especially in pockets of – as you're transitioning from projects to projects. So, that market's coming back strong, and we think that's a very positive trend for the entire oil and gas market. And we expect that to continue.
Jamie L. Cook - Credit Suisse Securities (USA) LLC: Okay. Okay. Congrats. I'll get back in queue.
Operator: We'll take our next question from Brent Thielman with D.A. Davidson.
Brent Edward Thielman - D.A. Davidson & Co.: Yeah. Thanks. Good morning. Great quarter, great year.
José Ramón Mas - MasTec, Inc.: Hi, Brent. Thank you.
Brent Edward Thielman - D.A. Davidson & Co.: José, on Communications, great to see that the margins continuing to improve as the year's gone on. Given we still haven't really seen the real spend yet from some of these big CapEx initiatives out there, how do you feel now, I guess, about getting towards that upper end of the target range for margins for that business?
José Ramón Mas - MasTec, Inc.: I think we're going to get there. It's a matter of timing. It's a matter of when, I think, the workload hits on all levels, which we're probably looking at 2019. But there's no doubt in my mind that margins are going to increase in that segment. The market's prime for it. And just based on sheer activity volumes and utilizations, I think margins for all people that are in this industry right now in that communications side are going to improve.
Brent Edward Thielman - D.A. Davidson & Co.: Okay. And then secondarily, I guess, any discussion about the install-to-home business trends you're seeing there? And I guess based on the work you're picking up in Communications overall, I mean, as you look out over the next 18 months, do you see faster growth in wireless or the wireline side of the business?
José Ramón Mas - MasTec, Inc.: Well, for MasTec specific, since the wireline business is a little bit smaller for us, I think, from a pure percentage of growth perspective, we're probably going to see the biggest increases in wireline. We have tremendous opportunities in the wireless market with what's happening there. As a lot of that fiber begins to get installed, you're going to see a lot of the periphery-type work happening around the network. And so, we expect sizable increases in both our wireline and wireless businesses. We're seeing it as backlog builds, it's getting closer and closer, so it's very exciting. Just to touch on the install-to-the-home business, we expect it to be down again in 2018 versus 2017. The business is performing well. We've got a lot of opportunities as we think about the future, and we think about what's happening with wireless local loop, and a lot of the similarities of what we're doing today versus what's going to have to happen in that environment. And we've got just about every one of our major customers significantly now talking about wireless local loop opportunities. And I think that's a great area for our install-to-the-home business to flourish and take advantage of. So, something we're looking hard at and something that we think will really help us on that side.
Brent Edward Thielman - D.A. Davidson & Co.: Thank you.
José Ramón Mas - MasTec, Inc.: Thank you.
Operator: We'll go next to Andy Wittmann with Baird.
Andrew John Wittmann - Robert W. Baird & Co., Inc.: Taking my question, guys. I wanted to ask about the Oil & Gas business in particular. And regarding the awards in the quarter, obviously, you guys press released and talked about the 1. – I think you said there's a $1.5 billion large job, but there's clearly more work that went in during the quarter than just that. José, I was wondering if you could give us some characteristics of the other types of work that supplemented that large win. Was it gas, oil? What's the size of the pipeline? Is this another long haul pipeline? Just as it relates to the margin profile, I guess, was the reason why we're asking.
José Ramón Mas - MasTec, Inc.: Yeah. I think we've got a lot of large projects. Obviously, we're talking some pretty sizable numbers, so we're talking over $1 billion in additional wins. It's not made up of hundreds of projects. It's made up of a handful of projects, so they're all sizable in nature. And I think it's a very similar profile to the type of projects that we've been working on in the last couple of years. And we think that the – I guess to directly answer the question, I think the margin profile on those projects is very good. If you look at our 2017 year, and you kind of back out our one big project, which quite frankly we didn't generate the margins on that project that we typically enjoyed or would hope to, our margins in 2017 were very similar to 2016 ex that project, so – which is a sizable difference from the margins that we reported. So, if we can continue to perform at those levels and then obviously the numbers that we're talking about 2018 will turn out to be very conservative.
Andrew John Wittmann - Robert W. Baird & Co., Inc.: Great. Thank you for that. I think it's probably helpful to talk about the margin performance. And I think I understand this, but I want to make sure. The percentage margins, the margin rate that you reported on the reimbursable, if I'm not mistaken, you got reimbursed for revenues where there is regulatory delays, where your people were told to stand down. So, in fact, you were actually not bearing the risk of those regulatory delays. So the fact that your margin dollars were as expected but the rate was low is actually a good thing because it – doesn't that reflect that you had favorable terms and conditions? I guess, I wanted to make sure that I understood that correctly. And also, you made a comment related to that that you don't expect to have this in 2018. So, I was just wondering if there was a change in what I would see as favorable terms and condition on the next generation of pipelines you're working on.
José Ramón Mas - MasTec, Inc.: The short answer is yes to your question. I guess the longer answer would be we don't expect the same conditions to persist on the jobs that we're going to be working on in 2018 than we had 2017. So I think there was very specific reasons why this job increased in value the way that it did. It's something that we haven't typically seen on projects, so we don't expect to see that in future projects. Is there the potential for that to happen in some future projects? The answer is yes, but we doubt it, which is kind of why we've excluded it. But to your point of terms improving over time in the industry and allowing us to share risks with our customers in a much greater way than what we had traditionally done in the past, that is what's happening in the industry, that's a positive sign. We've been talking about it for a long time. It has much to do – conditions has much to do with pricing when you look at risk profile, and I think that the industry is in a much better position today for contractors than it typically was in the past. With all that said, obviously, we're trying to execute for our customers in the best way possible where we can try to save them as much money as we can on projects and come in ahead of schedule and under budget.
Andrew John Wittmann - Robert W. Baird & Co., Inc.: My last question for now, if you will, just can you talk about how well permitted the pipelines that you're expecting to build in 2018 are? You mentioned a couple of handful more plus the $1.5 billion. I guess how well permitted are they as it relates to your confidence in them going, but also in the timing, given that you've laid out actually fairly specific timing starts here, and obviously given the burn rates of these pipelines, it can matter. So I just wanted to kind of gauge your confidence around the timing of the starts and the overall permitting process for this important pipeline.
José Ramón Mas - MasTec, Inc.: Highly confident.
Andrew John Wittmann - Robert W. Baird & Co., Inc.: All right. We'll leave it there then. Thanks, guys.
José Ramón Mas - MasTec, Inc.: Thanks.
Operator: We'll go next to Noelle Dilts with Stifel.
Noelle Christine Dilts - Stifel, Nicolaus & Co., Inc.: Hi, guys. Good morning and congratulations on a good quarter.
José Ramón Mas - MasTec, Inc.: Thank you, Noelle. Congratulations to you too.
Noelle Christine Dilts - Stifel, Nicolaus & Co., Inc.: Thank you. So, just looking at the backlog that you're reporting versus revenue guidance, even if you back out the cost reimbursable work that you booked this year, it still seems like there's this big disconnect between these huge backlog growth numbers and what you're guiding to. We know you've been tended to be conservative with guidance. You know it's just something. Should we attribute this to conservatism, or is it more a function of timing?
José Ramón Mas - MasTec, Inc.: Well, I think it's our ability to try to understand what the timing will be on a full year basis, so obviously, we're very comfortable with the guidance that we're putting out today. We've talked about trying to be conservative in the past. So, our goal is to exceed the expectations that we're laying out. With that said, if these are the numbers that we produce in 2018, we'd be super happy and proud of them because they'd be the best numbers in our history. With that said and I think we'll continue to say it, we feel really good about if things fall our way, then obviously, we hope to be able to be talking about the fact that these were very conservative numbers when we laid them out at the beginning of the year and we ended the year in a much better place. But I think when we take all the facts that we know today with all the potential risks that exist in our segments and we kind of plan for that, this is our guidance for 2018.
Noelle Christine Dilts - Stifel, Nicolaus & Co., Inc.: Okay. And then is there any chance you could quantify the amount of storm work that you did in the quarter and how you're thinking about some of that work moving forward? And also, are you participating in the Puerto Rico rebuild in either Communications or Transmission?
José Ramón Mas - MasTec, Inc.: So, a couple of things, right. I mean, the storms passed through Florida. Florida is a big market for us, so I think just normal course of business, we experienced a little bit of uptick. We've also had a presence in Puerto Rico for a very long time. We are the primary wireless contractor on the island. So, we had puts and takes in Puerto Rico. It was very negative for a period of time in our wireless market because the island was so impacted. We have had since then an uptick in Communications work in Puerto Rico relative to our ability to be there. We've done some power restoration there as well, and there's still a lot to do down there. I wouldn't call – it's not – it's okay. It's something we're looking at. We'd love to be a part of it. But it's declining and it's a lot smaller now than it probably was in Q4.
Noelle Christine Dilts - Stifel, Nicolaus & Co., Inc.: Okay. Got it. Thanks a lot.
José Ramón Mas - MasTec, Inc.: Thanks, Noelle.
Operator: Our next question comes from Matt Duncan with Stephens.
Matt Duncan - Stephens, Inc.: Hey. Good morning, guys. Congrats on a great quarter.
José Ramón Mas - MasTec, Inc.: Thank you, Matt.
Matt Duncan - Stephens, Inc.: So, in Communications, you mentioned, José, that you've had some pretty sizable wireless wins, it sounds like, here over the last few weeks. I don't know if maybe you can quantify those for us. And then as you think about the growth as we move through the year, the midpoint of the guide's kind of 10%. Is it fair to assume you're sort of mid-single digits first half, mid-teens back half, and then maybe that level of growth can carry into next year based on what you're seeing in the market?
José Ramón Mas - MasTec, Inc.: Yeah. So, a couple of things, right. I think we've heard our customers talk a lot about additional spend for months now, whether it was tax related or whether it was business related. I think what we're getting really excited about is we're finally seeing it come through in real projects. So, it's not just a number that's being thrown out there, but the numbers now being quantified with specific projects, and that's what we're always waiting for to truly understand when it's going to affect us from a financial perspective. So obviously, as some of this stuff rolls in, there's – it takes time to develop these projects and the front end takes longer than the actual construction activity. But we are expecting a ramp towards the second half of the year, so I don't think your numbers are too far off, and we expect obviously strong growth going into 2019. And the more visibility we get, we'll be able to probably more clearly bucket those numbers, but we feel pretty good about it.
Matt Duncan - Stephens, Inc.: Okay. And then, just the size of the wireless wins you've had over the last few weeks. And then, my other question was going to be in Electrical Transmission, that's a business that we haven't spent much time on on this call, but you guys have obviously had a very nice improvement in profitability there that contributed, I think, maybe to the outperformance that you had last year. As you look forward, what is the margin level that you want to see that business get to and how long does it take you to get there?
José Ramón Mas - MasTec, Inc.: We've said all along we expect it to be a double-digit margin business. We've got to get some wins to do it. We think we're well on our way there. So, I don't know. We're not going to get there in 2018, but I would fully expect to be there in 2019.
Matt Duncan - Stephens, Inc.: Got it. Thanks.
José Ramón Mas - MasTec, Inc.: Thank you.
Operator: We'll go next to Tahira Afzal with KeyBanc Capital Markets.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Hi, team. Congrats on a good quarter again.
José Ramón Mas - MasTec, Inc.: Thank you, Tahira.
Tahira Afzal - KeyBanc Capital Markets, Inc.: So, José, has your visibility on 2020 on the pipe side improved over the last few months? It seems like you're feeling a little more comfortable talking about that. And I'm just trying to get a sense on what's driving that.
José Ramón Mas - MasTec, Inc.: Quite frankly, we're feeling better about a longer timeline than that. We've got customers today talking about projects that are three and four years out and planning for that. So, these are conversations in places that we historically haven't been in with customers because they haven't been planning that far out. So, obviously, we're in 2018 and we've got to accomplish the work that we have at hand. But when you're talking to customers about work for 2019, 2020, 2021, 2022, that's an incredible place to be in. That's why we're so confident in where the market's heading. We see so many projects in early stages. We've got so many conversations about projects that if they're not public, they're not out there. Nobody's following them. And it's just – it's very refreshing to be a part of that, and it gives us tremendous confidence for that business for a very long time.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Got it. Okay, José. And I guess the next question is just around sequential forecasting or modeling in a sense. If you look at second quarter last year, which you exceeded because of closeouts and just good business, the guidance was for around $0.61. Given this trend and momentum in the underlying business, do you see yourselves growing earnings versus that $0.61 guidance that you gave at the second quarter of last year?
José Ramón Mas - MasTec, Inc.: As we look at the second quarter versus as we plan out 2018, I think our second quarter in 2018 is going to look very similar to our second quarter in 2017.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Got it. Without the closeouts, right?
José Ramón Mas - MasTec, Inc.: We have closeouts all the time, Tahira. So, I don't know that in Q2 of 2017, there was any. I think the big closeouts were in Q1 of 2017 more so than in Q2 of 2017.
Tahira Afzal - KeyBanc Capital Markets, Inc.: I see. Okay.
José Ramón Mas - MasTec, Inc.: So...
Tahira Afzal - KeyBanc Capital Markets, Inc.: Thanks, José.
José Ramón Mas - MasTec, Inc.: Thank you.
Operator: And we'll go next to Alex Rygiel with B. Riley FBR.
Alex Rygiel - B. Riley FBR, Inc.: Thanks. A very nice quarter and year, José.
José Ramón Mas - MasTec, Inc.: Thank you, Alex.
Alex Rygiel - B. Riley FBR, Inc.: José, let's talk big picture about the balance sheet and future uses of cash. You built a great business here. Your primary business lines are very significant. Where do you go from here? Are we looking to deploy a lot of capital into additional acquisitions to add a kind of a rapidly expand third or fourth leg? Are we looking to possibly aggressively buyback stock at this level given the valuation? What's the bigger three-year view here?
José Ramón Mas - MasTec, Inc.: I think we're always analyzing that, Alex. I think everything's on the table. I think George alluded to it in his comments, right? Acquisitions have been an important part of our growth story for a long time, although we haven't made many in the last couple years. We bought a little bit of shares in the fourth quarter. We feel our stock is undervalued at this point, so it's obviously something that's on the table. So, we feel good about cash flow generation for 2018 which is the main driver for it because it's what gives us the cash and the ability to be able to talk about these things and do them. And I think we continue to relook at where we are there and then try to make those decisions. So, I guess my general answer would be everything is on the table, and I think we're aggressively looking at all of the above.
Alex Rygiel - B. Riley FBR, Inc.: And the returns on the Waha project are fantastic. Are there any future opportunities like that that could be replicated either in the U.S. or in Mexico?
José Ramón Mas - MasTec, Inc.: We think so. It's obviously part of what we're looking at and places that we would potentially deploy capital.
Alex Rygiel - B. Riley FBR, Inc.: Thank you. Good luck in 2018.
José Ramón Mas - MasTec, Inc.: Thank you, Alex.
Operator: We'll take our next question from Robert Burleson with Canaccord.
Robert Joseph Burleson - Canaccord Genuity, Inc.: Yeah. Good morning.
José Ramón Mas - MasTec, Inc.: Good morning.
Robert Joseph Burleson - Canaccord Genuity, Inc.: So, just curious on tax reform, just digging in a little bit more on the indirect benefits. If we look across your segments, are there certain areas where you think you're going to see a bigger impact in terms of how customers deploy that capital?
José Ramón Mas - MasTec, Inc.: I think it's everywhere. Our Communications customers have probably been more vocal about it. But quite frankly, a lot of our Electric customers, a lot of our Oil & Gas customers, they're all getting the same benefits. So, it's part of their discussions as well. So, we actually think it's very broad-based.
Robert Joseph Burleson - Canaccord Genuity, Inc.: Okay, great. And then you had a nice uptick in backlog for Power Gen in Q4, and I'm wondering how diversified by project or customer is that business going forward and what's the average project size that you're looking at there?
José Ramón Mas - MasTec, Inc.: It's a good question. When we look at – if you look at our reported backlog number, it's only an 18- month number. If you look at our total backlog in Power Gen, it would be a much higher number. And as I think about our total backlog number, we probably have north of $500 million of wind projects in that number. We've got a couple hundred million in biomass projects and a couple hundred million in other types of projects. So, I think it's very broad-based. I think the diversity in those projects is better than it's ever been, but still with a core focus on what we've done for a long time and excelled well at especially in the last year. So, we feel really good about where we sit in that business, the potential for both long-term revenue growth but, more importantly, the margin profile and what we were able to accomplish in 2017 and hopefully continue to build on that.
Robert Joseph Burleson - Canaccord Genuity, Inc.: Great. Thank you.
José Ramón Mas - MasTec, Inc.: Thank you.
Operator: We'll go next to Chad Dillard with Deutsche Bank.
Chad Dillard - Deutsche Bank Securities, Inc.: Hi. Good morning, guys.
José Ramón Mas - MasTec, Inc.: Good morning, Chad.
Chad Dillard - Deutsche Bank Securities, Inc.: So, can you speak to the geography of projects in Oil & Gas in 2019? It seems like 2018 is all about the Marcellus and Utica Shale Basins. I'm just curious about what it looks like for next year. And then, also, can you also speak to whether you are bidding on any Mountain Valley Pipeline size type of projects for next year?
José Ramón Mas - MasTec, Inc.: So, the size of projects in 2019, we expect to be similar to the size of projects in 2018 or the potential of projects, so those are the type of projects that we're looking at. And I think from a geographic perspective, they're pretty broad-based.
Chad Dillard - Deutsche Bank Securities, Inc.: Great. And then can you just speak to the business mix in Communications for 2017 as well as 4Q 2017. Just a question on just Puerto Rico and the restoration work and just how much that contributed in terms of profitability and if some of the growth in backlog was attributable to that as well?
José Ramón Mas - MasTec, Inc.: No. I wouldn't say that, there's not much backlog in that at all. Again, a lot of the work that we did down there was just normalized work for being on the island. Again, we've been on that island for a long time and we experienced both positive and negatives during the quarter because we went a long time with an existing workforce there that was unable to work and then it was offset by obviously some of the restoration activities. I don't have an exact number for Puerto Rico. I wouldn't – it didn't – it's not going to make a huge impact on our go-forward results or even in the first quarter. So, it's a relatively small island and there's obviously good opportunities there today. We want to be part of the restoration efforts. We think it's important for the people that live there. They've undergone a very difficult situation and there's still a lot of people that are without power. It's a very sad situation. So, we'd love to help in any way that we can. But quite frankly, from a financial perspective, it doesn't really move the needle for MasTec.
Chad Dillard - Deutsche Bank Securities, Inc.: Okay. Thank you very much.
José Ramón Mas - MasTec, Inc.: Thank you.
Operator: We'll take our final question from Adam Thalhimer with Thompson Davis.
Adam Robert Thalhimer - Thompson Davis & Co., Inc.: Great. Thanks for squeezing me in.
José Ramón Mas - MasTec, Inc.: Hey. Good morning, Adam.
Adam Robert Thalhimer - Thompson Davis & Co., Inc.: Hey, José, the – can you give a little more color on the near term, the wireless awards. Is that all for one carrier or two different carriers? Just what's driving that?
José Ramón Mas - MasTec, Inc.: We've seen increased activity from multiple carriers in the last two months I'd say. And I think obviously, we're skewed to one customer in that business from a size perspective and we've seen a lot of increase in activity from them, which is again very favorable. But today, we're experiencing multiple opportunities across multiple customers there today, which – in a much bigger way than we ever had before, which is also exciting because it allows us to diversify that business a little bit. The good thing is there's no doubt that it's coming. Activity is going to be there, it's going to grow, it's going to sizably grow and I think we're going to get our fair share, if not more. So we feel great about the long term prospects of that business. I think 2018 is a better year than 2017 but, quite frankly, as we look out into 2019 and beyond, it's where we're going to see a huge jump there in my opinion. So we can't wait to get there.
Adam Robert Thalhimer - Thompson Davis & Co., Inc.: And then how's the – for all that wireline work that you've won, how's the permitting process going?
José Ramón Mas - MasTec, Inc.: It's in process. We've always talked about that being a much heavier second half than first half for those same reasons. It's a lot of different markets. So, obviously, it's not the same answer for every market. But, generally, I think things are going very well.
Adam Robert Thalhimer - Thompson Davis & Co., Inc.: Great. Congrats, guys.
José Ramón Mas - MasTec, Inc.: Thanks, Adam.
Operator: And this does conclude our question-and-answer session. I'd like to turn the call back over to José Mas for closing remarks.
José Ramón Mas - MasTec, Inc.: So, again, this concludes our fourth quarter and year-end 2017 call. I'd like to thank everybody that participated today and we look forward to catching everybody up on our first quarter earnings call here shortly. So, thank you for participating today.
Operator: Ladies and gentlemen, this does conclude today's conference. We thank you for your participation. You may now disconnect.